Operator: Welcome to the Delta Airlines December quarter financial results conference. At this time all participants are in a listen only mode until we conduct a question and answering session following today’s presentation. As a reminder, today’s call is being recorded. I would now like to turn the call over to Ms. Jill Sullivan Greer, Managing Director of Investor Relations.
Jill Sullivan Greer : Here in Atlanta today we have Richard Anderson our CEO, Ed Bastian our President, and Paul Jacobson, our CFO, and we have the remainder of the leadership team here in the room with us for Q&A. Richard will open the call, Ed will then address our financial and revenue performance, and Paul will conclude with a review of cost performance and cash flows. To get in as many questions as possible during the Q&A, please limit yourself to one question and a brief follow up. Today’s discussion contains forward-looking statements that represent our beliefs or expectations about future events. All forward-looking statements involve risks and uncertainties that could cause the actual results to differ materially from the forward-looking statements. Some of the factors that may cause such differences are described in Delta’s SEC filings. We’ll also discuss non-GAAP financial measures. All results exclude special items unless otherwise noted. You’ll find the reconciliation of our non-GAAP measures on the investor relation’s page at ir.Delta.com. With that, I will turn the call over to Richard.
Richard H. Anderson : This morning Delta reported a $1 billion pretax profit for the December quarter with EPS of $0.77 which beat consensus of $0.75. We grew the top line 6% despite a fuel price decline of 14%. Delta expanded margins by over four points. For 2014 we generated a $4.5 billion pretax profit, an increase of 70% over 2013. Revenues grew for the full year by 7% and we expanded our operating margin by four points to 13.1%. Our ROIC was 20.7%. We generated $5.8 billion of operating cash flow and $3.7 billion of free cash flow and returned $1.35 billion of cash to our owners. Delta was the sixth best performing stock in the S&P 500 with a 79% gain. In two years we have increased our market cap by $30 billion. Our $3.7 billion of free cash flow was better than 90% of the S&P Industrials and Delta has the third highest free cash flow yield of the S&P Industrials. These results include over $1 billion of profit sharing for our employees equal to more than 16% of their 2014 pay. We are proud of that at Delta and I want to thank the entire Delta team for their hard work that is the reason why we were successful in 2014. We ran the best operation in the global aviation industry with 95 days of no main line cancellations, a completion factor of 99.8% and an on time rate of 85% excluding the onetime impacts of the winter storms in 1Q of ‘14. Remarkably, Delta had only 414 main line maintenance cancellations for all of 2014, a number that our competitors sometimes exceed in a single month. That operational excellence, along with investments we’ve made in products and services drove increases in our customer satisfaction with our domestic net promotor score increasing more than two points to 33%. High customer sat translates into a revenue premium as customers have showed a willingness to pay for high quality service. For 2014 we generated 107% of industry average revenues across the system and a 113% domestic RASM premium. We continually obtain efficiency and productivity which caused roughly flat non-fuel costs year-on-year in 2014. These factors combined to produce a $1.9 billion increase in our pretax profit for 2014. This profitability translated into strong cash flows which produced $6 billion of operating cash flow and allowed $2.1 billion of capital investments. We used a portion of that to strengthen our balance sheet reducing our net debt to $7.3 billion. Our stronger balance sheet has been recognized by rating agencies as we are just two notches away from investment grade. We run the company on investment grade metrics and strive to obtain investment grade ratings. We are exceeding our long term shareholder commitments. Our long term op margin goal is 11% to 14%, we achieved 13.1%. EPS growth long term goal is 10% to 15%, we achieved 70% growth on a pretax basis. Our ROIC goal is 15% to 18%, we hit 20.7%. Our free cash flow goal was $3 billion, we hit $3.7 billion. We make decisions in the business for the long term. We’re focused and disciplined. We manage our capacity, capital, and costs tightly. We drive high ROIC. We’re focused on growing free cash flow and raising cash shareholder returns. We believe these are the most important metrics for large cap long term equity owners. Our top line growth is strong which is driven by operational and service excellence. We have increased our earnings by $3 billion since 2012 and generated $6.5 billion in free cash flow over that time. We expect to significantly improve on this performance in 2015. There’s a tremendous opportunity in front of us from lower fuel prices. We will drive these savings to the bottom line with strong revenue growth and yield preservation regardless of fuel prices. At current fuel prices, we expect to capture over $2 billion in fuel savings benefit in 2015 net of our hedges. If fuel remains at these levels we are set up to fully participate in recent fuel declines during 2016. In addition, our hedge book provides excellent protection should fuel rise from current levels. We will use the decline in fuel prices as an opportunity to accelerate progress towards our long term goals. Fuel will remain volatile in 2015. We are not making any changes to our 2015 capacity plan in light of the lower fuel prices. In fact, we continue to trim capacity on the margin to maintain yields and our RASM premium. Between fuel savings and the benefits of our revenue initiatives, we expect to produce a significant pretax profit increase in 2015. These higher earnings should translate into growing free cash flow which will be allocated between strengthening the balance sheet and returning cash to our owners. Our top priority continues to be paying down debt. We expect to have our adjusted net debt below $6 billion by the end of this year and achieve a $5 billion target next year. We will contribute over $9 billion - $900 million to our pension plans this year which marks the third year of excess contributions to the plan to address that obligation. We will accelerate our capital returns to our owners with a minimum of $1.5 billion in dividends and buy backs this year. We will complete our repurchase authorization by the end of 2015, a full year ahead of schedule. Similar to the past two years, we will update you on our capital deployment plans in May after our board of directors completes its annual strategic plan review in the spring meeting of 2015. As we discussed at our investor day last month, our work lies in continuing to build a durable industrial company with strong financial performance throughout the cycle. We’re making great progress. We’ve got the right people and the right strategies to continue to do so. Delta today has the fourth lowest PE of the S&P Industrials so there is much opportunity ahead. The operating environment for Delta and the overall industry in the US is remarkably good. Carbon price declines are a huge benefit to the overall US economy. In addition, the US is experiencing a pilot shortage at the regionals caused by the 1,500 hour rule and the long term hiring trends at the majors. At Delta the large size of the airline requires 12 to 18 months of advanced planning to significantly change our capacity plans. The same is true across the industry. These jet fuel savings are enormous and we are diligent at maintaining those savings for the bottom line. In high level conceptual terms at Delta, the first quarter is a good indicator of the macro trends for 2015. We expect to keep our RASM and non-fuel CASM about flat in 1Q. Capacity growth will be about 5% but just 3% net of last year’s weather. With fewer airplanes and fewer departures with revenues growing 7% fuel savings will go to the bottom line which will set up for a very strong 1Q and these trends in 1Q bode well for all of 2015. Thanks for your support and I’ll turn the call over to Ed who will detail our strategies and commercial initiatives.
Edward H. Bastian : For the December quarter our pretax income increased $474 million year-over-year to just over $1 billion. Our net income was $649 million or $0.78 per share which was generally in line with consensus of $0.77. We expanded our operating margin by more than 400 basis points to 12.6%. Our results for the quarter include $262 million in profit sharing expense which brings the total for the year to $1.1 billion. 2014 was a fantastic year on all fronts and it will be an honor to be able to reward the Delta team come profit sharing day for driving industry leading operational, customer service, and financial results. These results have led Delta to be the second best performing stock in the S&P 500 over the last two years. Hats off to our 80,000 strong. We had solid revenue performance growing the top line against a back drop of significantly lower fuel prices. Passenger revenues increased 4.6% on 3.7% higher capacity. 2014 has been a strong year in corporate sales with our corporate revenues increasing 7%. We saw the strongest performance this year in the financial services, media, and automotive sectors. This corporate sales growth was a key factor in driving our New York hub to profitability. In our most recent Ford Corporate Travel Survey, 88% of our customers anticipate increasing or at least maintaining travel spend in Q1 and over the balance of 2015. We also saw good traction with our ancillary and merchandising revenues which increased by 16% for the quarter. Our first class paid load factor increased by six points to 49% and we did that off a base of 8% more first class seats than last year. Our revenues for our premium economy product comfort plus, increased by 18% and we’re now generating an annual incremental revenue stream of roughly $350 million. Passenger unit revenues grew 1% with our strongest performance in the domestic entity. International faced headwinds from the dollar’s strength versus both the Euro and the Yen, which combined with the impact of our service reduction to Venezuela, impacted revenues by $60 million and lowered system unit revenues by about 6.6 points. Domestic unit revenues increased nearly 3% on 3.6% higher capacity. We’re especially pleased with our performance in New York and Seattle which have built good momentum as we’ve been upgaging the domestic fleet and investing in our networks, products, and facilities in those two cities. Seattle’s domestic unit revenue grew 6% on 33% higher capacity. In the Trans-Atlantic unit revenues declined slightly on 2% higher capacity. Our best performance was to Europe especially, Amsterdam and Paris where our joint venture with Air France [indiscernible] helped produced unit revenue increases above the entity average. We continue to face headwinds in Africa, the Middle East, and Russia which pressured European entity unit revenues by more than two points despite 13% capacity reductions in those markets. Our joint venture with Virgin Atlantic continues to perform well with an 800 basis point margin improvement in the quarter on 2% increase in capacity. Our Latin unit revenues declined 4% on 15% higher capacity but nearly all of the unit revenue decline was driven by our capacity reduction into Venezuela. Our investments in Latin America are paying off as we had strong performance in Mexico and Brazil. Our commercial partnerships with Aero Mexico and Gulf are driving higher yielding traffic onto our core business markets. Those two carriers accounted for $35 million in incremental revenue for the quarter. In the Pacific our unit revenues declined 5% on slightly lower capacity as the entity continues to see pressure from the weakened Yen. Net of hedges, the Yen reduced revenue by $31 million and pressured unit revenues by four of those five points. Since we’ve began down gaging the 747s and restructuring our Narita hub, we have already seen nearly $25 million improvement on our Tokyo routes in Q4. Turning to guidance, Richard made an important point earlier, the focus of the commercial team is to continue to grow revenues as we seek to drive the fuel savings to the bottom line. We are seeing some continuing pressure on international unit revenues from the stronger dollar and lower fuel surcharges. In the domestic market demand and revenues remain solid. We are forecasting our March quarter revenues to increase about 7% with RASM roughly flat on 5% higher capacity. That forecast includes about a point of unit revenue pressure and two points of capacity growth from last year’s winter storm so schedule-over-schedule our capacity will be up roughly 3%. The storm impact will also affect the monthly RASM op ex. We expect our January RASM will be the lowest performer with monthly results progressively improving as we move through the quarter. Our revenue growth combined with $0.50 to $0.60 in lower fuel prices and solid non-fuel costs productivity should result in an operating margin of 11% to 13%. This is a 400 basis point improvement compared to last March’s quarter and a 500 basis point improvement on pre-tax earnings. Looking ahead, we face about $300 million of revenue headwinds in 2015 from the stronger dollar, close to a full point of RASM but we have a number of revenue initiatives that give us confidence that we can not only overcome that pressure but continue to grow revenues through the year. First, we’re continuing to make adjustments to our network to improve our revenue and our margins. While we will make incremental capacity additions in New York, Seattle, and Los Angeles this year, we are also focused on tactically adjusting the gage and frequency of flying to better match demand including, deciding this week to take 1.5 points out of our domestic schedule starting in March. In Latin America, our growth will tail off in the back half of the year. We are already seeing benefits in those markets as our capacity additions have matured and we expect to see that momentum build as we go through 2015. We will also benefit as we begin to lap the impact of our Venezuelan reductions later this year. In the Pacific, we continue to restructure our network in light of continued pressure from the weakened Yen. This will take a couple of years as we retire the 747s and back fill a portion of that flying with new smaller gaged aircraft. However, we expect to make good progress in 2015 as we will retire five additional 747s which will reduce capacity into Japan by 15%. Second, we have strong opportunity in our joint venture and our investment with Virgin Atlantic which we expect to produce $200 million of benefit this year alone. We just celebrated the first anniversary of our joint venture and we are gaining familiarity and expertise as we cooperate on pricing, scheduling, and capacity decisions. Delta and Virgin combined will increase our US to Heathrow capacity by 10% in 2015. Our increased service to London Heathrow, a key market that Delta didn’t serve just a few years ago, has been a stronger driver of the momentum we’ve seen in our corporate sales growth. A third focus for our commercial team is rolling out our branded fair initiatives. Our basic economy product is already in over 75 markets and is producing strong results as we continue to expand it into additional domestic and Latin markets. Finally, we’ve changed SkyMiles from a distance based program to a spend based program. This change should drive higher revenues from a stronger customer loyalty as we put rewards into our most valuable customers and we are already receiving positive feedback from them. We were also able to translate the value of our frequent flyer program into improved terms in a new agreement we reached with American Express which we announced last month. That new agreement which went into effect on January the 1st is expected to delivery several hundred million in higher revenues to Delta this year through a 15% improvement in terms. 2014 was another excellent year on all fronts and we expect that 2015 will be even better. Again, thanks to our 80,000 Delta colleagues for their contributions to another successful year. Now, I’ll turn the call over to Paul who will take you through the details on cost and cash flow performance.
Paul A. Jacobson : Consistent cost control was again a significant contributor to our 400 basis points of margin expansion this quarter. Total operating expenses increased by $135 million driven entirely by higher profit sharing expenses. We were once again, able to hold non fuel CASM essentially flat in each quarter of 2014 and this quarter marks the sixth consecutive quarter of non-fuel CASM growth below 2% as we are continuing to see the benefits of our upgaging initiatives and lower maintenance expense due to the 50 seat retirements. There is tremendous commitment across the entire organization to continue to achieve our goal of cost growth consistently below 2% and we expect that momentum to continue through this year and into 2016. This year we took delivery of 84 aircraft and retired 89 aircraft which included 60 50 seaters. We improved our operating leverage through upgaging generating 2% higher domestic capacity for the year on 3.9% fewer departures, all while the operational team delivered the lowest maintenance CASM in the industry with the best operational reliability. As we progress through 2015 we will continue to see the benefits from upgaging. The retirement of 50 seaters and older main line aircraft, as well as the benefits of productivity improvements across the organization. Moving onto fuel, fuel expense declined by $342 million for the quarter, driven by the sharp decline in market fuel prices. Our all in fuel price was $2.62 per gallon which was $0.43 lower year-over-year. Our results this quarter included $180 million in settled hedged losses which were offset by $105 million profit at the refinery. At December 31st we had $925 million in hedge margin posted with counterparties which we suspect will be substantially reduced by June 30 based on current prices. Based on current prices, we are projecting an all in fuel price of $2.45 to $2.50 per gallon for the March quarter. For the full year we are forecasting an all-in price of $2.25 to $2.35 per gallon which is approximately $0.50 to $0.60 lower than 2014. These lower prices should produce over $2 billion in lower fuel expense including hedges. For 2016 we are well positioned for full downside participation should fuel remain at these levels. As I mentioned, the refinery made $105 million profit for the December quarter which represents $151 million improvement versus last year. Lower crude costs combined with higher product crack spreads and increased throughput were key contributors to the refinery’s heightened profitability this quarter. Our already strong cash flow will further benefit from the low fuel price environment which will allow us to continue our progress in strengthening the balance sheet by paying down debt, funding our pension plan, and continuing to return cash to our owners. This year, we generated $5.8 billion of operating cash flow and reinvested $2.1 billion back into the business primarily related to aircraft modifications and purchases of the CRJ 900 and 737 900s which are replacing the 50 seaters and older 757 aircraft. For the March quarter we are projecting $700 million in cap ex primarily related to 737 900 deliveries and deposits on future aircraft. With the $3.7 billion of free cash flow that we generated in 2014, we were able to reduce our adjusted net debt down to $7.3 billion. This reduction in adjusted net debt represents a $2.1 billion decrease compared to the same time last year and delivered $200 million in interest savings year-over-year. We expect another $200 million in interest expense savings in 2015 from continued debt reduction. Additionally, we continued our path of increasing shareholder value by returning $1.35 billion to shareholders through $251 million of dividends and $1.1 billion of share repurchases that retired over 28 million shares for the year. Moving into 2015 we expect to generate approximately $1 billion of free cash flow during the March quarter. As Ed and Richard mentioned, we will continue to grow free cash flow throughout the year which will go towards completing the $2 billion share repurchase authorization by the end of 2015, a full year ahead of schedule and towards paying down additional debt. We’ll update you in May our further capital deployment plans. Our long term goals remain at the forefront of how we manage our business. We will continue to prudently reinvest in the business on investments that align with our return on invested capital goal, pay down debt, and return value to our shareholders. In closing, I would like to extend my heartfelt thanks to the entire Delta team for a record breaking year. We have a special family here and our performance this quarter and throughout the year are a direct result of the contributions made by each and every one of us. Thanks and I’ll turn the call back over to Jill.
Jill Sullivan Greer : That is the wrap up of our prepared remarks. Operator, if you could give the instructions for the analysts to ask their questions.
Operator: [Operator Instructions] Your first question comes from David Fintzen with Barclays Capital.
David Fintzen: A quick question on the pilot comments, when you look around the world are there a substantial number of Americans still flying outside of the US? Could this tightness in pilots start to show up not in the US but outside the US as pilots start to come home that would potentially like to?
Richard H. Anderson : I don’t know David. My remarks were focused on what the US industry faces today with a pretty significant shortage building in the regional space and that’s exacerbated by the fact that you have, at the majors, a significant wave of retirements over the next decade just because of demographics and it’s pretty much the same at all the carriers so there’s a big pull from the majors, and the 1,500 hour rule is really affecting the ability of the regionals to be able to attract a significant number of new pilots. So, it’s really an effect on the US industry as we see it.
David Fintzen: On the infrastructure sort of in place to train pilots as you’re sort of coming through that attrition I mean, is that a limiting factor as well or is there sort of ample training facilities to kind of roll through pilots?
Richard H. Anderson : Well, I can speak for Delta. Delta has more than ample training facilities at Delta to run a first rate training operation and I think in the broader industry there is too, the question is the regulatory requirement on 1,500 hours. 
Operator: Your next question comes from William Greene with Morgan Stanley.
William Greene: I think you guys are probably getting this question at lot as well which is I think a lot of investors think about fuel as creating a windfall. I realize you’re going to try to keep as much of it as possible but can you take a little bit about insofar as you start to hit some of these targets sooner than expected, do the priorities you outlined at the investor day in terms of what to do with this cash so if we did get a bit of an extraordinary windfall that wasn’t persistent, how do you think about what to do with that cash? What are the orders of uses in that sense?
Richard H. Anderson : Well, I think the first order of use is going to continue to reduce our net debt and the second order of use is going to be higher cash returns for our owners. Now, that’s subject to our Board approval and I’ve got to be careful about not getting to far out there before going through the five year plan. But, our fleet can run at this level of CapEx very easily for a very long period of time on our fleet so we don’t see some big fleet order coming. We think there’s going to be an opportunity for a bunch of used airplanes for us at some point here giving all the NEO deliveries in the narrow body world. We just placed our wide body order, we’re fine on wide bodies so the fleets in good shape and the run rate cap ex that you saw this year, the $2.1, that vicinity is a good run rate because we’ve got to keep our ROIC above that 18% so it’s going to reduce debt and higher shareholder cash returns.
William Greene: Then Richard, when you think about fuel and what you should use to underwrite in a five year plan or even a one year plan, what fuel price do you use? I guess where I’m getting at is if fuel were to jump back up do you have to adjust to that or are you really operating at a much higher fuel price so there wouldn’t be a change at Delta even at higher fuel prices?
Richard H. Anderson : We actually use pretty high fuel prices in all of our planning and this was a shared experience with Ed and I, we’ve learned this over the years that planning with a low fuel price will only disappoint and planning with a high fuel price if you end up being wrong and the fuel price is lower, you’ll be pleased. But it’s really important when you’re planning an airline over the long term, or making a 30 year MPV decision on buying an airplane to use a very high fuel price otherwise you’re not going to get an ROIC and a free cash flow number that you’re going to like. Paul, our fuel price for our assumption for our budget was $2…?
Paul A. Jacobson : $2.82.
Richard H. Anderson : $2.82 even though we knew it was going to be lower. But that way you plan the capacity on a much more muted basis and you make sure that you put the strategies in place to hold yield and RASM.
William Greene: So, insofar as fuel went back up you wouldn’t need to make any adjustments I assume, or is that not the right way to think about it?
Richard H. Anderson : Well, if fuel goes back up remember, it takes a lot to make a capacity adjustments at an airline of this size. We have 12,000 airplanes so 1% of 12,000 airplanes is 12 airplanes, there’s eight crews per airplane. You’ve got to get all those people hired, and trained, and the flight attendants, and we tend to be on the conservative side, because we don’t want to over shoot on capacity or expense because if you’re adding fixed expense you better be certain you’re going to get a return on it. So, bottom line is it’s always a really conservative approach to how you plan and you should always plan with fuel prices high. We’ve seen this movie many times in the industry and so you’ve got to run the company conservatively and we’re trimming capacity as we speak as we get close into the beginning of the second quarter.
Operator: Your next question comes from Tom Kim from Goldman Sachs.
Tom Kim: I just wanted to ask with regard to the level of competition out there. Obviously, this industry is always competitive, I’m wondering if you’re beginning to see any signs or indication that competition within the domestic market might be increasing at all?
Edward H. Bastian : No, we don’t see any signs of that right now.
Tom Kim: Then I guess just with Lat Am and the Pacific obviously, you guys have been flagging this very well, I’m curious is this more of a demand side issue, or is it really supply side, or a combination of the two? Then, it doesn’t sound like you’re seeing any signs of inflection in these markets but I’d love to hear your thoughts in terms of whether there is any supply side response largely from the overseas carriers to actually suggest we could see possibly a pleasant surprise with regard to the Lat Am and Pacific markets more specifically?
Paul A. Jacobson : If you think about our fourth quarter, four of the five points in Pacific year-over-year decline were based on yen currency. We’ve seen really unprecedented decline in the yen. Despite that, we think that we will be profitable in our Japanese operation in 2015 and so if you think about as we continue to restructure and become less reliant on Japan, we were very pleased with the one point decline which means that there was a lot of core strength in a period of the year. It is not really peak demand.
Operator: Your next question comes from Helane Becker – Cowen & Company.
Helane Becker: I thought I heard that you said you were thinking about reducing domestic capacity growth in March and I was just kind of wondering would the thought process there is that that you’re not seeing demand in those markets, or are you concerned about demand in those markets, or what’s the thought behind that?
Richard H. Anderson : We’ve been taking a very prudent yield strategy and clearly we have our advanced yields in the domestic network up significantly over the next several months and so as we came through January and saw the actual demand patterns of these higher yields, we took some capacity out. That’s just a normal business process and it doesn’t say anything about core demand.
Helane Becker: But do the yields then? Do the yield outlooks say something about the demand outlook?
Richard H. Anderson : The yield outlook is very positive and we would like to keep it there and so we’re adjusting the lower demand flights downwards.
Edward H. Bastian : Just to be clear, we’re still going to be growing domestic, we’re just reducing some of the growth.
Operator: Your next question comes from Michael Linenberg – Deutsche Bank.
Michael Linenberg: Two questions, just a follow up on Helane’s question Ed, I think the forecast was 3% domestic growth for 2015. If we incorporate the contemplated adjustments at the end of March or starting in March, where does domestic shake out? Is that more closer to 2% for the year?
Edward H. Bastian : It’s too early to say, we’re in a calibration. As we have always said, as we get into the year we start to make tactical adjustments. Somewhere in the 2% to 3% range is probably still pretty good guidance.
Michael Linenberg: Then just my second question, I believe there’s been a decision made to at least not retire one of the 747s that was going out in the fourth quarter, it looks like it’s going to be back in the schedule starting, I think, in May? How much of the lower fuel price played a factor in that decision, and if it did, are there other sub fleets where maybe it makes sense to fly those aircraft a little bit longer, maybe potentially put back on the order book a bit? Are there opportunities out there or are those decisions not made until you see fuel prices down at this level on a sustained basis?
Glen W. Hauenstein : We did retire all the airplanes that we had contemplated. The activation of the 74 was a swap so it was not a net new airplane to the system and we saw the opportunity, which is a great opportunity with our partners at China Eastern, starting in April we will be able to be co-terminus with them. We’ll be able to reduce our MCTs in Shanghai and we had the opportunity between some time it sat in LA and a new maintenance facility we were opening in Shanghai to create the airplane to fly that and that’s really a long term decision that we’ve been waiting for the right opportunity. It was in the five year plan. With the China Visa extensions we see a huge increase in demand and with the opportunity that’s presenting itself in China with our partner China Eastern we really saw this as a onetime opportunity that was not in the normal course of our business, but given the events that had happened with the relaxation of the Visas, given the opportunity we had to relocate, it was really the right time.
Michael Linenberg: Anything on that second part of the question?
Glen W. Hauenstein : We haven’t changed our fleet plan by one airplane since fuel has come down. So, could you? Yes. Have we? No.
Paul A. Jacobson : The total shell count for 2015 will be down about 10 year-on-year.
Operator: Your next question comes from Hunter Keay – Wolfe Research.
Hunter Keay: I was wondering if I could sort of follow up a little bit on what sort of Bill was asking earlier about this windfall use of cash and where we should think about the incremental cash flow going? Richard, at the analyst day you made a comment about taking net debt down to zero, I know you’ve got to get to five first and you don’t want to talk too far ahead here, but is that the real target or is that sort of a if this current operating environment continues and you guys are generating a lot more cash than you ever thought you would have, that becomes something that is more of a near term realistic possibility or is it kind of let’s just get to five first and see where we are type of thing?
Richard H. Anderson : I think it’s a good question. In fact, I think it’s a great question from the long term shareholder perspective because this year we budgeted $3 billion in free cash flow and we got well above that. So, there’s just a natural tendency that it’s going to flow against net debt because we’re pretty disciplined about not wanting to take up our aircraft cap ex and we already have the 50 wide bodies ordered and we’ve got 717, 737, 8321s coming and on the margin they’ll be a few more airplanes as we hit 30 years of age on some of our domestic fleet where we’re going to have to make some purchases but I don’t see the cap ex commitment changing from where we’ve been. So, there’s two places it ends up going just naturally, one is higher cash returns to our shareholders probably in the form of share buyback and second, is just cash accumulating against net debt. I don’t know that we’ve said that our target is really zero, we want to get to $5 billion in net debt but the cash is going to accumulate and we’re going to have to be careful to be certain that we steward it wisely for long term owners.
Hunter Keay: Glen, can you talk about how you’re strategically managing the inventory on basic economy right now? You highlighted in the prepared remark it was something you were clearly very excited about at the analyst day presentation. Can you talk about how you manage the inventory in terms of not competing against yourself like, if I were to go on Delta.com I was always going to go on Delta.com, how do you manage the risk of me not seeing that basic economy fair right next to a normal fair, if you want to call it that and me buying that? Are you going to restrict the inventory very tightly, are you going to roll it out in a few test markets to see how it goes? Also, how this factors into the OTAs with the full content agreements that you have with them?
Glen W. Hauenstein : Really, the basic economy is not a lower fare it’s just the lowest fare we have available. So, if you think about where it’s used today in the 75 markets, it’s primarily used against the ultra-low cost carriers when we have inventory we want to sell and we want customers to buy a competitive product. So, as we think about fares moving forward we want to be less commoditized. We want people to buy the products and services they want and this is really not about lowering fares but allowing people to select what features that Delta offers that they want. As you know Delta has by far the best industry record for on time performance for baggage and the highest net promotor score of any of the major three carriers so how do we continue to decontent that and continue to offer best in class for whatever customers want to buy from us, and this is really one of those vehicles.
Paul A. Jacobson : Just on the OTA question, the OTAs we’ve reduced the number of relationships we have in that distribution channel and in many instances we don’t really have full content agreements so much of this product is really through our website, or through a second point of sale at the airport. The prominence of the OTAs is really diminished particularly as investments in Delta.com have driven very high levels of customer satisfaction. Overall, the OTAs just play a much smaller role in the distribution strategy.
Operator: Your next question comes from Duane Pfennigwerth – Evercore ISI.
Duane Pfennigwerth: I appreciate your flattish RASM commentary for the March quarter, I guess 2% growth in total unit revenue. I wonder if you could give a sense for what you expect that to look like by region, or if not by region just maybe what you’d expect domestic to be relative to that flat?
Richard H. Anderson : I think the trends you saw in Q4 are probably continuing to take hold in Q1. The international RASMs are being pressured on a continued basis by even an accelerated level of dollar strengthening and domestic is really solid. Our corporate revenues are strong. Current year is kind of off to a very good start in month of January, our corporate revenues in the month of January is up 7% so we see domestic holding up well and we continue to make the adjustments we’ve talked about with some of our international entities.
Duane Pfennigwerth: Just on hedging for 2016, I’m glad I don’t have to make that decision for you but maybe you could just talk about the thought process, what do you need to see to begin to hedge that out? What is it that you’re looking for that would suggest these prices may be the lowest?
Paul A. Jacobson : As we’ve talked about and as we’ve mentioned at investor day, we’ve taken a little bit more of a narrower view in terms of the time versus what we’ve historically looked out at. 2016 is in our radar now. I don’t think we’re going to jump and do anything extreme, I think we’re going to continue to manage our program as we see it going forward. We have to keep in mind that there is some steepness in the curves so you can’t hedge in the 40s in 2016 and we have to take that into account. That being said, we’re in a position where we could get some good year-over-year improvement. Again, as we see continuing ’14 to ’15 and ’15 to ’16. All that weighs in but we are committed to our program and I don’t think you’re going to see anything materially different from us.
Operator: Your next question comes from Julie Yates – Credit Suisse.
Julie Yates: Just to continue on Duane’s question on unit revenues and maybe just taking a step back and thinking about ’15, I realize you only give guidance for one quarter but can you give any perspective in light of the changes that are going on in each of the geographies on how we should think about the progression of revenue performance throughout the year and whether we should see improvements maybe from some of the capacity reductions into Asia and the restructuring and the actions on the Trans-Atlantic with Virgin?
Richard H. Anderson : I think the domestic entity is going to be solid throughout the year. We see no reason why we’ll see any tail off of our domestic performance. Internationally, as we mature and lap a significant amount of the Latin investment that we’ve made and as we lap the Venezuelan capacity reduction, we should see the Latin unit revenue progression start to improve by the second half of the year. In the Pacific we have talked a lot about the changes we’re making with the 747s. I think it really depends on a currency play with what’s happening with respect to the Yen. In the back half of the year for the Pacific we see some fundamental improvements but that’s factored based on the Yen holding where it’s largely at.
Julie Yates: Then just maybe on the Trans-Atlantic?
Richard H. Anderson : Our JV with Virgin is going very well. I mentioned that we expect to post a net $200 million profit for the year and our performance in Paris and Amsterdam were also quite strong in Q4. I think our unit revenue performance to those two markets were in the 3% to 5% year-over-year range of improvement and so we would expect 2015 to see continuing strength.
Paul A. Jacobson : 2015 in the AFKLM JV we’re expecting significant contribution improvement in the joint venture with Air France KLM. We’re seeing a lot of the fuel price advantage obviously [indiscernible] the long haul. 
Edward H. Bastian : One last comment just on the global demand scene, we see really good core strength with just one exception and that is Africa, Middle East, and Russia and so we will be adjusting our capacity in those key markets as we move forward through the year. But all kind of different events, Russia being more political, Middle East being related to the oil, and Africa being related to the perception of Ebola because we really don’t fly to Ebola affected areas. 
Julie Yates: Then lastly, internationally where are you starting to see pressure to remove fuel surcharges?
Edward H. Bastian : We never comment on forward pricing initiatives so we’d like to just continue that policy.
Operator: Your next question comes from Jamie Baker – JP Morgan.
Jamie Baker: First question as the labor drama played out in recent months at American Airlines, I’m curious if there’s been any impact or sort of change in the tone of dialog between Delta management and its pilots? Does it remain a goal to try and settle before the amendable date and how confident are you that even with new economics you can succeed in keeping the consolidated ex fuel CASM under 2%?
Richard H. Anderson : I think the answer to the first question is no change in our great relationship. We have made a commitment with our pilots to finish on time or ahead of schedule and we’re confident we’re going to be able to maintain our cost structure over the long term.
Jamie Baker: Ed, I don’t want to get bogged down in semantics, the team seems to be speaking rather enthusiastically today about the impact of lower fuel, but I’m still getting inquiries from investors about that statement in the release about the quote unquote headwinds from lower fuel. Even if you only participate in 50% of the savings, how exactly is that a headwind? Were you just referring to the headwind from the hedge book?
Edward H. Bastian : No, there’s no question there’s a correlation as fuel prices come down there’s an industry supply macro that you need to think about so we weren’t talking about any specific headwinds other than the fact that as fuel prices come down you can expect to see some pricing pressure broadly.
Paul A. Jacobson : There’s a subpart to that question if you think about the effect of lower fuel prices, it’s affecting some of the economies around the world. It’s a huge boon to the American consumer. There’s never a better time for Americans to go to Europe or to travel around the world. But, when you think about the effect that it has in places like Brazil, Glenn talked about Russia, there are a lot of OPEC economies the cartel was collecting rents that they aren’t collecting anymore and you see it in Venezuela, you see it in a number of carbon producing economies that will have some impact on the foreign point of sale. But, the US it is a huge boon to the US economy.
Jamie Baker: If I could just squeeze in a third housekeeping question, I know you reserve the right to modify the profit sharing program, I didn’t see anything in the release to suggest the 2015 break points would be any different, is that correct? 
Richard H. Anderson : That’s correct.
Operator: Your last question comes from Joseph DeNardi – Stifel Nicolaus.
Joseph DeNardi: Paul, I think you were the one that mentioned the pilot retirement wave upcoming over the next couple of years and I’m sure you’ve looked at that pretty closely. Is there any way you can quantify what the impact or benefit to your cost structure you expect from that?
Richard H. Anderson : It was Richard talking about the pilot staffing constraints and what it takes to grow capacity. I think the normal flow through that we see in the ranks is built into our cost structure and I think we don’t expect that to result in any big unit cost pressures.
Joseph DeNardi: I guess wouldn’t it be a tailwind at some point as the retirements start to accelerate?
Paul A. Jacobson : Not really, it’s not a seniority based pay per say. There is a little bit of training cost associated with it, but from a wage benefit salary standpoint it’s negligible.
Joseph DeNardi: Then just a housekeeping, the first quarter is that PRASM that you expect to be flat or total RASM?
Paul A. Jacobson : That’s PRASM.
Jill Sullivan Greer : That’s going to conclude the analyst portion of the call. I’m not going to turn it over to Kevin Shinkle, our Chief Communications Officer.
Kevin Shinkle : We have about 10 minutes for questions from reporters so please limit yourself to one question and one brief follow up. 
Operator: [Operator Instructions] Your first question comes from Jack Nicas – Wall Street Journal.
Jack Nicas: You just were talking about the fact that when you do see significant declines in the price of oil there’s going to be some industry headwinds such as pricing pressures. Can you discuss whether you’re seeing any of that now and if so, can you characterize it a little bit and talk about what it is?
Edward H. Bastian : Jack, given the results we just posted with our unit revenues improved and given that we’ve got a flat outlook on a growing supply base into the first quarter 2015, I think that will tell you what we see in the revenue cards.
Jack Nicas: Are you seeing at all – could you say that any competitors are cutting fares or anything like that?
Edward H. Bastian : We can’t talk about that.
Operator: Your next question comes from David Koenig – The Associated Press.
David Koenig: This may be a bit of a follow up to that, I keep getting the question all of the time when are fares going to go down because fuel is down so sharply and there was no mention of that on the call? There was mention of how you might spend the fuel, if you want to call it, windfall. Anything new that Mr. Anderson, you can say about the impact of fuel on fares?
A - Richard H. Anderson : I think we covered it pretty thoroughly there in the call. I think Ed addressed it pretty forthrightly. Over, the cycle you do have some pressure from fuel price and particularly in the foreign point of sale where economies are significantly affected if they had been relying upon oil price payments from the US.
David Koenig: Would it take some sort of a drop off in load factors and how much before you might see some difference in fares?
Richard H. Anderson : There’s always differences. The marketplace is incredibly competitive and there’s always differences in fares in a competitive marketplace.
David Koenig: I guess I meant reductions. 
Richard H. Anderson : I think we covered it.
Operator: Your next question comes from Ted Reed – The Street.
Ted Reed: I would like to hear Glenn explain why you’re adding a flight from Los Angeles to Shanghai given capacity increases in the Pacific and the buildup in Seattle. I would just like to hear why you feel that flight is necessary and how it can make money?
A - Glen W. Hauenstein : I thought I just answered that on the analyst side in pretty good detail. The one thing that’s happened in the last few months is the extension of the Chinese Visa program. That was unexpected and so we’ve seen a significant increase from China. The second thing was a long awaited co-terminus move with our partner China Eastern and we’re already connecting about a little less than 200 people a day to Shanghai and points in interior China and starting in April we’ll be able to reduce our minimum connect times and we’ll be able to better connect to those points in China. So we saw that, the opportunity, combined with the dramatic increase in Chinese visitors and the Chinese economy just came out today and the 73 with the Visas we see really strong demand in China materializing in the second and third quarters. This is something that was in our five year plan we just saw an opportunity to accelerate it given some exogenous events that all seemed to sync up at once.
Paul A. Jacobson : Overall Pacific capacity should be down in 2015 about 4%. 
Ted Reed: That makes even Los Angeles viable for you?
Glen W. Hauenstein : Absolutely. 
Operator: Your next question comes from Michael Sasso – Bloomberg News.
Michael Sasso: Yields in Latin American given your rapid growth there over the last year or so?
Richard H. Anderson : As we mature that growth and lap that growth we will see certainly some improvements in our overall unit revenue performance. Any time you’re expanding in international markets it generally takes 12 to 24 months before the market starts to fully develop for you and you will see some natural improvements as we temper our capacity additions. The other factor is Venezuela which had an outsized level of unit revenue performance. With the currency changes we decided last year to pull down our frequencies and as we lap that there will also be a benefit to our Latin unit revenues in the second half of this year.
Paul A. Jacobson : Just a last comment, on a fairly significant increase in capacity in the fourth quarter absent Venezuela, our yields would have been flat.
Operator: Your next question comes from Jeffery Dastin – Thomas Reuters News.
Jeffery Dastin: To clarify Paul’s earlier comment that you will not do anything extreme with the hedge book, does that mean Delta is not looking to lock in lower fuel prices for the long term with new hedge contracts?
Paul A. Jacobson : What we do is we manage the book usually inside of an 18 month time horizon but primarily focused inside of about a 12 month period so the comment was intended to mean that we’re just going to continue to look at the program as we’ve been running it. 2016 is coming into view, but we’re not looking to make material changes in how we manage the program. It doesn’t mean that we won’t be hedging in 2016.
Operator: Your next question comes from Elliot Blackburn – Argus Media.
Elliot Blackburn: Obviously, the refinery had a good quarter last quarter. I was curious if you guys could talk about what you’re seeing there if the rail, [indiscernible], and crude that you worked to secure, if that’s still competitive there or if you’re finding more opportunities for the waterborne imports at that facility?
Paul A. Jacobson : We’ve obviously seen some compression in the spread between domestic and foreign sourced oil which has made foreign a little bit more attractive. But what we’ve seen at the refinery is that crack spreads and margins on products have actually gone up while prices have gone down and that’s contributed to the profitability so we had a great fourth quarter. We expect pretty healthy profit at the refinery in the first quarter as well on the strength of those higher crack spreads which is helping to serve as a bit of a hedge, if you will, on widening spreads on a lower crude price for the airline.
Elliot Blackburn: Are you guys expecting to be able to run full out for the year or do you have some planned work at that refinery this year?
Paul A. Jacobson : Nothing other than just ordinary maintenance, but there are no planned major shutdowns.
Kevin Shinkle : We have time for one more question.
Operator: Your last question comes from Edward Russell – Flight Global.
Edward Russell: I wanted to see if you could elaborate a bit on the plans for maintenance facility in Shanghai? Will you be moving any maintenance there from elsewhere and what kind of aircraft will you be maintaining there?
Richard H. Anderson : It’s just purely a line maintenance facility so it’s overnight line checks, overnight planned work, just like the line maintenance facility we have in Amsterdam, or Sao Paulo, or Paris, or Tokyo, so it’s not heavy maintenance or engine maintenance. 
Edward Russell: Approximately what is the expected investment that you plan to make in that facility?
Richard H. Anderson : We’re talking about a dozen mechanics and an allotment of spare parts. I think maybe you’re misconstruing the idea of putting line maintenance in Shanghai into being something more than that. It’s 12 people so you could do it out on the ramp, we won’t have a hanger.
Kevin Shinkle : Thank you. With that, we conclude our call for today. Thanks everyone for listening.
Operator: This concludes today’s conference. Thank you all for your participation.